Operator: Good morning. My name is Kayla, and I would like to welcome everyone to the JetBlue Airways Second Quarter 2015 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, Kevin Crissey. Please go ahead.
Kevin Crissey - Director-Investor Relations: Thanks, Kayla. Good morning, everyone, and thanks for joining us for our second quarter 2015 earnings call. Joining us here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP Commercial & Planning; and Mark Powers, our CFO. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-Q and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - President, Chief Executive Officer & Director: Good morning, everyone, and thank you for joining us. Earlier today, we reported our results for the second quarter 2015. In the quarter, net income was $152 million or $0.44 per diluted share. On a year-over-year basis, excluding the gain on sale of LiveTV, which occurred in the second quarter of last year, our net income more than doubled. This strong result is a reflection of the amazing efforts of our 17,000 outstanding crew members who continue to inspire humanity by exceeding our customers' expectations every day. In May, JetBlue was awarded its 11th consecutive customer satisfaction award by J.D. Power with the highest score ever by any U.S. airline. Again, I would like to congratulate our incredible crew members for this terrific achievement and thank them for their dedication and hard work. Total revenues grew 8% year-over-year in the quarter, driven by solid demand across all regions and execution of our network plans. Second quarter operating margin improved by more than 8 percentage points to 17.5%. The lower fuel price environment played a significant role in our strong results with our realized average fuel price of $2.13, down 31% versus the second quarter of 2014. We were also pleased with our non-fuel unit cost in the quarter as CASM excluding fuel and profit sharing came in better than our guidance, up only 0.6%. Our network strategy is producing strong results across the board with profit margins improving simultaneously with capacity growth. All six of our focus cities continue to be profitable and generated year-over-year margin expansion in the quarter. Now turning to Mint, Mint revenue and customer satisfaction have far exceeded our expectations. Based on this success, we've announced additional Mint service from New York's John F. Kennedy International Airport starting in October this year and expanded Mint to Boston with year-round service to Los Angeles and San Francisco and seasonal service to Barbados, all starting in 2016. Based on current data, JetBlue will be the only airline offering year-round flatbeds from Boston to both LA and San Francisco. The expansion of Mint is a good example of our commitment to Boston where JetBlue continues to be the number one carrier for both business and leisure flyers. When we announced our service to Nashville in spring 2016, JetBlue will offer 60 non-stop destinations from Boston. We continue to be very pleased with the results of our investments in Boston. Operating margin in Boston has expanded more than our system average, both this quarter and on a trailing 12-month basis. In Fort Lauderdale-Hollywood, we continue to execute our profitable growth strategy with expanding service to both domestic and international destinations. Indeed, we have announced eight new destinations from Fort Lauderdale-Hollywood launching in 2016 with the latest being Charleston, South Carolina, and Turks and Caicos. Let me now touch on our operational performance. I am pleased as all of our operating metrics have improved nicely year-over-year. On-time departures, or D0, improved 1.7 percentage points year-over-year to 67.1%, while our system arrival performance, or A14, improved 3.3 percentage points to 82.2%. Not only did we improve our on-time performance, but we did so while cancelling fewer flights. Completion factor improved 1 percentage point year-over-year to 99.3%, creating efficient available seat mile growth. These operating improvements are being noticed by our customers as evidenced by our increased Net Promoter Scores, which we believe will continue to drive additional revenue. None of this would have been possible without the amazing efforts of all of our crew members who did a fantastic job again during this quarter. Turning to partnerships, our partnership revenue continues to grow significantly above our capacity growth, fueled by a combination of new partners and the deepening of existing relationships. We are particularly pleased with the mutual positive effect Boston is having on both JetBlue and our partners. The combination of our growth in Boston and the performance of our partnership led El Al to add service to Boston this past June. In fact, El Al is the sixth partner to start a new route to Boston either in conjunction with launching a partnership with JetBlue or after developing the partnership in New York and then expanding it to Boston. This is yet another example of JetBlue's growth not only in adding competition in the U.S. but also in our partners' long-haul international markets. As planned, we introduced fare options in the second quarter. This was a big undertaking for our company, and I'm excited about the opportunities it represents. We are convinced fare options is a better revenue strategy than static fees employed by some of our competitors. Ultimately, we will be able to dynamically price our product based on customer feedback and conversion rates. It's still very early days as the new fares only went live on June 30, but initial financial results are consistent with or better than our expectations. Marty will provide some additional details regarding fare options, and I anticipate some of you will ask questions we will not or cannot answer due to commercial sensitivity or because they relate to future pricing. We will provide what we can, but the bottom line is we expect fare options to generate at least $65 million of incremental operating income this year and more than $200 million annually by the end of 2017, which is consistent with the guidance we provided at our Investor Day last November. In closing then, we are pleased with our results in the second quarter but remain steadfastly committed to delivering improved financial returns by executing on the initiatives we've previously outlined. And with that, I'd like to turn the call over to Marty to discuss our revenue results in greater detail.
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you, Robin. Good morning everyone. Thanks for joining us. Demand in the second quarter was solid. Passenger unit revenue, or PRASM, increased 1.4% on capacity growth of 7.5%. Based on A4A data, unit revenue across our combined domestic and Latin networks outpaced the industry by nearly 7 percentage points in the second quarter while we grew ASMs 3 percentage points faster than the rest of the industry. Although Mint has performed very well, and certainly helps the revenue performance between New York and LA and San Francisco, it is just one driver of our topline performance. Mint routes represent only about 7% of our ASMs in the second quarter and the premium seats on those routes represent just 0.7%. Our strong relative revenue performance was really the result of strong execution of our revenue management and network strategies, the maturation of our network, and limited exposure to softer global markets and unfavorable currency exchange rates. But most importantly, it was driven by the outstanding service delivered by our 17,000 crew members. Looking at our performance on a regional basis, we saw PRASM strength across both our domestic and international networks, with Latin America and Caribbean markets being particularly strong due to the continuation of improved VFR traffic and easier comparisons. Other revenue decreased 5% year-over-year in the second quarter as a result of uneven comparisons due to the sale of LiveTV. As a reminder, we sold LiveTV in June of 2014 and it contributed $14 million in the second quarter of 2014. This is the last quarter that LiveTV will impact year-over-year comparisons. Excluding the impact of LiveTV, other revenue grew very nicely in the quarter. Turning to fare options, as Robin highlighted, we launched fair options at the end of the quarter. Customers now have a choice of three branded fares, which we call Blue, Blue Plus and Blue Flex. With the introduction of fare options, all customers regardless of the fare saw a reduction in their change fees, including the base Blue level. Blue fares are our lowest priced option and are ideal for customers who do not plan to check a bag. Our Blue Plus product offers a free checked bag, additional TrueBlue points, and a further reduction in change fees. Blue Flex offers the second checked bag for free, additional TrueBlue points, and free changes and cancellations. In addition to the introduction of fare options, we have also introduced fully refundable fares at all fare levels. Before fare options, all JetBlue fares were non-refundable, except for the very highest walk-up fares. We believe that offering refundables at all fare levels will help us increase our share among customers paying mid-range relatively close in business fares because historically, our competing fares have been non-refundable while others have not. As planned, we rolled up fare options in a simple way with roughly consistent pricing gaps between the fare option packages. $15 between Blue and Blue Plus, and $85 between Blue Plus and Blue Flex. As we did with our Even More product offering, we expect to further develop the fare options product over time as we learn customer preferences. The fare options initiative will impact both Passenger and Other revenue. All fares purchased by customers will be reported in Passenger revenue; additional bag charges will continue to be recorded in Other revenue. Since fare options launched on June 30, it had no material impact on our second quarter revenue. It is too soon to fairly assess finishing results relative to our forecast, but early indications have made us optimistic about meeting or exceeding our 2015 target of $65 million in incremental operating income. The split in incremental revenue between Passenger and Other is also too early to accurately determine. Fare options is one of several major initiatives designed to improve our financial returns over the coming years. We remain committed to executing programs such as our cabin refresh, driving a new co-branded credit card agreement, expanding Mint, and growing getaways. These initiatives are expected to increase our return on invested capital and are largely independent of industry dynamics such as GDP, competitive capacity, and the price of fuel. Now to Fly-Fi, our industry leading high-speed broadband Wi-Fi product. We are very excited about the recent partnership announcements with Amazon and Major League Baseball which will improve the customer experience and also permit us to further monetize our product advantage. Fly-Fi is now available on all A321 aircraft and 90% of our A320s. We expect the entire A320 fleet to be equipped with Fly-Fi by the end of the third quarter. We'll begin Fly-Fi installation on the E190 fleet this fall. Once complete in 2016, customers will have access to Fly-Fi across our entire fleet. With that, I'll turn the call over to Mark to provide further details on the quarter.
Mark D. Powers - Chief Financial Officer: Thanks, Marty. Good morning everyone and thanks for joining us. This morning we reported record second quarter operating income of $282 million. That's twice the operating income of the same quarter last year. Total revenue grew 8% on capacity growth of 7.5%. Yield improved 0.2% and load factor increased 1 percentage point. We're further pleased with our cost progress in the second quarter. Excluding fuel and profit sharing, year-over-year second quarter unit costs increased 0.6%, which is better than our April quarterly guidance range of 1% to 3%, due to our improved operational performance including a higher completion factor than anticipated, timing of some advertising spend, and effective cost control programs. In the quarter, year-over-year unit cost pressure came primarily from maintenance, materials and repairs, and salary, wages and benefits. Turning to fuel. In the second quarter, 90% of our fuel consumption was hedged using jet fuel swaps and caps. Including the impact of fuel hedging and taxes, our fuel price in the second quarter was $2.13, down from last year's per gallon price of $3.09, or 31%. As was the case last quarter, our hedge positions remain unchanged during the second quarter. We've hedged about 17% of our expected full-year 2015 fuel consumption. Based on the forward curve as of July 17, we expect our third quarter fuel price per gallon, including the impact of taxes and hedges, to be approximately $1.95. We don't provide guidance beyond the current quarter but to help you forecast and assuming again the July 17 forward curve, our all-in fuel price per gallon for the fourth quarter and full year would be $1.95 and $2.02, respectively. For more specific details regarding our hedge positions, please refer to our Investor Update, which was filed with the SEC and made available on the Investor Relations section of our website prior to the start of this call. Moving on to the balance sheet. We ended the quarter with $915 million in cash and short-term investments. During the second quarter, we made scheduled debt and capital lease payments of $39 million. Strengthening our balance sheet, of course, remains a priority, and we believe we are making good progress. This quarter, in addition to the scheduled payments, we made debt prepayments of $84 million, which will reduce interest expenses moving forward. Given our strong liquidity position, we continue to look for opportunities to reduce our debt. Reflecting the continuous improvement of our credit metrics over the past three years, JetBlue's unsecured credit rating was upgraded one notch by Standard & Poor's during the quarter and two notches by Moody's in July. In addition, on June 16, JetBlue entered into an accelerated share repurchase program. JetBlue paid $150 million and received 6.1 million shares at the start of the program with a subsequent adjustment upon the close of the transaction. Ultimately, the total shares purchased by JetBlue will be based on design-weighted average prices of JetBlue's common stock during the term of this repurchase program. With respect to CapEx and fleet, JetBlue ended the quarter with 209 aircraft including 130 A320s, 60 E190s and 19 A321s. We purchased four A321 aircraft in the second quarter with cash and expect to take delivery of six more A321s in 2015, with two scheduled to come in the third quarter. Again, given the strength of our cash flow from operations, the current presumption is that we will pay cash for all our remaining 2015 deliveries. In order to support our recently announced Mint expansion plans, we have the flexibility provisions under our contract with Airbus to convert a portion of our order book in 2016 from high-density A321 configuration to the lower density Mint configuration. In the third quarter of 2015, we project total CapEx of $170 million with approximately $125 million related to aircraft. For the full year 2015, we continue to forecast non-aircraft CapEx of $150 million to $200 million. We further expect total capital expenditures in 2015 of approximately $820 million to $870 million. Turning to capacity. Our full-year capacity guidance remains unchanged at 7% to 9%. We believe the upper end of this range is more likely reflecting our high completion factor and the addition of Mint service from JFK, which starts in October. We plan to grow ASMs between 8% and 10.5% year-over-year in the third quarter. Turning to the revenue outlook. We continue to see solid demand across our network. We expect July passenger RASM growth to be between 0% and positive 1% year-over-year. Although we don't provide quarterly passenger RASM guidance, I would note a late Labor Day this year will soften revenue in the last week of August relative to last year. However, we expect September to benefit from the holiday timing. Moving to cost outlook; in the third quarter, we expect CASM, excluding fuel and profit-sharing, to increase between 1% and 3% year-over-year. Looking at full year 2015, we are lowering the top end of our guidance and we now expect CASM, excluding fuel and profit sharing, to only increase between 0% and 1.5%, that's versus our prior guidance of between 0% and 2%. In closing, we're pleased with our second quarter results. Our crew members remain highly engaged and we are excited to keep delivering on our plans for 2015 and beyond. And with that, Kayla, we are happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session for investors and analysts. We'd like to ask everyone to please limit themselves to one or two questions with a brief follow-up so that we can accommodate as many as possible. Our first question comes from Michael Linenberg of Deutsche Bank.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Yeah, hey. Good morning, everybody. Actually, some quick questions here, just on the E190s getting the , Marty, with the Wi-Fi. That's going to be – when is that going to be completed?
Martin J. St. George - Executive Vice President-Commercial & Planning: So the first plane is actually in prototype right now, Mike. We will be starting full install this fall and be completed in 2016.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. And then the A320 seating identification process, when is that? I know that starts sometime in 2016. Is that the beginning of the year?
Martin J. St. George - Executive Vice President-Commercial & Planning: We're still on track for what we announced on Investor Day, which is second half of 2016.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. Great. And then just maybe this is to Mark on just, well Marty, you can address it as well, just on your unit revenue trends. When we look at July guidance and we look at where you were in June, and yet it looks like the third quarter, there is an uptick in capacity. I mean, are we seeing an acceleration from June? Are the trends similar to June because you are adding a bit more seats in the July, at least July-August timeframe than what we had in the second quarter. Can you give us some additional thoughts, color on that?
Martin J. St. George - Executive Vice President-Commercial & Planning: Well, we have not yet seen competitive RASM obviously from the rest of the industry for July. We've seen June, and we're very happy with our performance right now. I think that the JetBlue RASM story, I think continues to be hundreds of basis of points better performance than the rest of the industry. And I think based on that strength, we're very excited about what revenue trends look like this summer, certainly compared to the rest of the industry.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Well, maybe what I'm getting at, is it more demand strength or is it because of the implementation of the new product that the new way of pricing that's really, that's driving it, or is it just too hard to parse that out?
Martin J. St. George - Executive Vice President-Commercial & Planning: Look, I fundamentally agree with what I said originally which is I think we've got great execution right now and I think it's core demand strength. I mean, honestly, we're 28 days into fare options. It is very hard to look at fare options and say, that's the secret sauce to create great revenue performance. We've had this revenue performance the last seven or eight months.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Yeah. Okay. Fair enough. Thank you. Appreciate it.
Operator: Thank you. Our next question is from Julie Yates of Credit Suisse.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hey, Julie.
Kevin Crissey - Director-Investor Relations: Julie, are you there? On mute? Kayla, can you move to the next question and re-queue Julie if she's able to join us, please? Thank you.
Operator: Our next question is from the line of Jamie Baker of JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: Hey guys, can you hear me?
Martin J. St. George - Executive Vice President-Commercial & Planning: We can.
Jamie N. Baker - JPMorgan Securities LLC: Terrific. Good morning.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hey.
Jamie N. Baker - JPMorgan Securities LLC: A follow-up on Mike's question on densification. How should we be thinking about the financial impact? I'm not asking for guidance per se but obviously 10% increase in A320 flying on a flat shell count implies fairly meaningful ex-fuel CASM improvement, but also fairly stiff RASM headwinds. Could you put some goal posts around that for us?
Martin J. St. George - Executive Vice President-Commercial & Planning: Sure, Jamie. I think what I'd say is we're very excited about what densification is going to bring for us. We think it's a very ROIC positive way to increase capacity. I think if you were to look at the fleet guidance that we've given, especially based on our most recent fleet modification we did with our partners at Airbus, you can sort of see how we changed the shape of our forward delivery curve really in anticipation of that capacity coming in. I mean, we are dedicated to the same sort of prudent capacity growth that we've followed for several years. And I will say based on our revenue performance, yeah, I think we've very comfortably earned that right to grow.
Jamie N. Baker - JPMorgan Securities LLC: Okay. And then just a housekeeping, housekeeping question, given the uncertainty around fare bundles in your aforementioned commentary, the split between passenger and other revenue, have you considered adjusting the monthly traffic releases to be on a TRASM basis, tango, T as in TRASM?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah, I get it. Listen, we fully recognize that we're putting you guys in a tough spot when it comes to modeling. And I'll say two things. First is that we ourselves again, a month into this, I don't think we know yet how it's going to be settling down between PRASM and RASM, or PRASM and TRASM as you use it. And second thing is I think we're certainly taking into consideration what guidance would look like in the future. But we have nothing to update right now.
Jamie N. Baker - JPMorgan Securities LLC: Okay, fair enough. Thanks a lot, everybody.
Operator: Thank you. Our next question comes from Duane Pfennigwerth of Evercore ISI.
Duane Pfennigwerth - Evercore ISI: Hey, thanks. Good morning. Just a cost question for you. So, it looks like your capacity growth should be about 10% in the third quarter versus about 7.5% in the second quarter. You just exceeded your cost guidance here in the second quarter. So, why is it that your cross growth will be higher in the third quarter versus what you just posted?
Mark D. Powers - Chief Financial Officer: Yeah. Hi, Duane. How are you doing? There's a lot of quarter-over-quarter shifting frankly from the quarters. We're seeing some advertising expense that shifted from this quarter to the third quarter; things of that nature are really sort of behind a lot of that. So there's timing of some spend. There's also some timing of some maintenance volume which we typically like to punch up in sort of in the September timeframe and then there's some technology-related expenses in that quarter as well. But overall, I mean we remain steadfast behind our full-year cost guidance which, as you know, now is tighter than our prior guidance by half a point. So just a lot of quarter noise.
Duane Pfennigwerth - Evercore ISI: Okay. Marty, I wonder if you could just comment on Mint. Appreciate the commentary that it's a small percentage of your seats. But how much of the outperformance relative to the industry would you attribute to Mint?
Martin J. St. George - Executive Vice President-Commercial & Planning: Honestly, I'd attribute very little to it, 0.7%, versus what we had expected and versus planned, I think it's de minimis.
Duane Pfennigwerth - Evercore ISI: Sure. Not necessarily relative to your own expectations but relative to maybe the 500 basis points of industry outperformance versus mainline domestic. I mean would you care to attribute a point to that?
Kevin Crissey - Director-Investor Relations: It's a small fleet.
Martin J. St. George - Executive Vice President-Commercial & Planning: I think it's too small to attribute.
Duane Pfennigwerth - Evercore ISI: Okay. And then just on, as we think about Fare Families, the way that you've positioned these as a buy-up versus getting hit with a fee, it seems like the vast majority of customers would choose to sort of buy up and I wonder if you could comment how much of the revenue as it's outlaying today if you sort of buy up to the next level, I assume all that would flow through passenger revenue. It just feels like the majority of this is going to flow through PRASM.
Martin J. St. George - Executive Vice President-Commercial & Planning: I think two things; first of all, it really is too early to tell. And we've done some surveying of what we think our competitors are doing. Obviously, we've done it in a little bit different way which does create this challenge. The second thing I would mention is we're still in a situation where the travel agencies and OTAs are not able to sell the fare options the way we sell them on JetBlue.com. So right off the bat, there's a bit of a haircut as you sort of remove them for the next two. But again, I think it's way too early for us to give a prediction on that.
Duane Pfennigwerth - Evercore ISI: Okay. Thank you.
Operator: Our next question comes from Savi Syth of Raymond James.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good morning. I just had a few follow-up questions here. On the timing of the seat project, could you remind us like how – like roughly how many aircraft you'll be able to convert a month or what the cadence of that is? And are you currently starting to see some costs related to that ramping up? Or is that more kind of the first of the year as you start hiring and preparing ahead of the seat project?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Savi. First of all, we can't give any guidance over and above what we've given already. We haven't given ASM guidance for 2016 or 2017 yet, specifically. So I appreciate the question but I'm not in a position to give that guidance first. As far as increased costs, it's – I haven't noticed anything yet, to tell you the truth. I mean, there's a little bit of work done on certification, but it's not cost we've incurred yet.
Mark D. Powers - Chief Financial Officer: That's right. Yeah, Savi, it's Mark.
Savanthi N. Syth - Raymond James & Associates, Inc.: Got it.
Mark D. Powers - Chief Financial Officer: Yeah. Just to confirm that that's absolutely the case.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. And then, just on the fare options. Could you provide any color on, since it was introduced in June, just maybe how many ticket sales it might impact in like July versus August? I'm guessing it's going to be more October when all the ticket sales or at least the majority of the ticket sales start to get impacted.
Martin J. St. George - Executive Vice President-Commercial & Planning: We've not historically given any guidance on what our booking curve looks like and I'm not going to break that precedent right now. Obviously, as we said, there is no impact to speak of. There's no measurable impact in June, and every month, it gets a little bit higher.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. And then maybe if I can ask, on the Boston Mint then, just how should we think about that regarding the differences versus New York? I know Boston doesn't have the same high paying load factors as New York but then again, as you pointed out, you don't have the same level of kind of equivalent products going out of Boston. Just what's your thinking on the contribution in Boston versus what you're seeing in New York?
Martin J. St. George - Executive Vice President-Commercial & Planning: I think the most important story about Boston Mint is recognizing that the Mint product is designed at a very low fare. I mean, our entry level fare is $599 for both of these markets, and there are many, many, many, many coach tickets sold on airlines above $599. I think the success we've seen in New York is what gets us so excited about Boston specifically because we're seeing the small and medium business customers, we're seeing the high-end leisure customers, and we're also seeing some of the large corporates in a place like Boston where we actually have a much better collection of corporate accounts than we do in New York and much higher market penetration. Yeah. I think all those factors are going to work very, very well for success in Boston.
Savanthi N. Syth - Raymond James & Associates, Inc.: All right. Appreciate it. Thank you.
Operator: Thank you. Our next question is from Julie Yates of Credit Suisse.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Good morning. Sorry about that. I'm off mute. Wanted to ask specifically about Orlando since a legacy carrier called it out as an area of yield weakness. Are you guys seeing this as well in the quarter or any indication in the forward booking?
Martin J. St. George - Executive Vice President-Commercial & Planning: Not at all. We've certainly heard the commentary about airlines but we're very happy with what we're seeing in Orlando.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Okay. Interesting. And then how was Even More in the quarter and any change to booking behavior on Even More with fare options?
Martin J. St. George - Executive Vice President-Commercial & Planning: So we had a very strong quarter in Even More. We don't generally break it out of other revenue, but I did say that when you take out LiveTV, we had a nice comfortable increase in other revenue, of which obviously Even More is a very big contributor to that. With respect to impact by fare options, we've not seen any impact on Even More to speak of. But again, it's – we're four weeks in, but obviously, it's important that as we added the fare options product that all of our ancillary products are important to us. One thing we're very excited about was what we've accomplished with our new website, our new website partner, is being able to say to ourselves, how can I improve the conversion of all of my ancillary products. So it's not just Even More, it's also rental cars, it's hotels. We think all those products are going to get much better as the website design improves. And I believe the merchandize improves.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Got it. Okay. And then just lastly, I know it's early, but any color or initial thoughts around how you're thinking about 2016 capacity?
Mark D. Powers - Chief Financial Officer: No.
Martin J. St. George - Executive Vice President-Commercial & Planning: Not yet.
Mark D. Powers - Chief Financial Officer: Not yet, no.
Julie A. Yates-Stewart - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Operator: Our next question is from Dan McKenzie of Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Hey. Good morning, guys. Thanks for the time here. So just kind of a quick question here on fare options, it seems to now be replacing Fare Families in your commentary. And I'm not sure if that's a rebranding, but if it is, I guess I'm just wondering why the rebranding right off the bat? And maybe I'm just reading too much into it. But then related to that, how much bandwidth or appetite do you have to add a more stripped down fourth band or fourth option, and would you even have that flexibility to do that if you wanted to do that at some point?
Martin J. St. George - Executive Vice President-Commercial & Planning: Thanks, Dan. So, two things. First, with respect to the changing of Fare Families to fare options, Fare Families is always sort of internal phrase only that we use. I think we recognize that we – as we communicated internally, I think Fare Families is confusing people. Obviously, we carry a lot of family customers. It was just branding we didn't think it was going to be helpful for clarity with our external customers. We thought it was actually going to be better for our customers to understand. Second issue, I can't comment on any future pricing actions. The one thing I will say is that when we designed the original fare options packages, one thing that was very important to us was that the base package that the Blue fare, that we're still going to offer you the best product of any airline in North America. And it's still the best product of any airline in North America. So anything is possible, but it's something we can't really comment on.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Understood. But the IT flexibility is there. Is that correct?
Martin J. St. George - Executive Vice President-Commercial & Planning: Oh, we have infinite IT flexibility now versus what we had six months ago.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Got it. And then, Mark, just a second question here. What's the share buyback philosophy going forward?
Mark D. Powers - Chief Financial Officer: It continues to be – it's really a policy, not a commitment. But what we try to do is repurchase shares so that we're not diluting the share count with respect to options and RSUs and whatnot granted to crew members. So it's basically to keep the share count neutral to crew member competition.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Very good. Thanks for the time, guys.
Mark D. Powers - Chief Financial Officer: Thank you very much.
Operator: Our next question is from Hunter Keay of Wolfe Research.
Hunter K. Keay - Wolfe Research LLC: Hey, everybody. Good morning.
Mark D. Powers - Chief Financial Officer: Hey, Hunter.
Hunter K. Keay - Wolfe Research LLC: Can you talk about the concept of the single fleet type? I know you guys are putting Fly-Fi on the 190s so I think that pretty much speaks volumes on how you're thinking about the role of that plane in the fleet. But do you ever think about the cost drag from running two fleet types, and would there be – assuming, Robin, as you take control of the company here for lack of a better term, would there be maybe a willingness to evaluate the place of the E190 longer term as it relates to – because I know that – we all know the revenue, we all know the network benefits from that plane, but purely from a cost perspective, would there be sort of an open-mindedness down the road to maybe shift to a single A320 family fleet type?
Mark D. Powers - Chief Financial Officer: I'll take that, Hunter; it's Mark. We look at everything frankly. And clearly, a single fleet type is something that we've looked at for some time. The simplicity though in terms of the cost benefit is probably overestimated than your question would suggest because there is a lot of complexity and a lot of transition period types of costs, such as unrelenting flight-hour agreements, not to mention some LLP issues on engines. So, the net cost is probably much less than what the question would suggest. And then I do have to mention revenue because particularly out of Boston, that airplane on many of the routes out of Boston, particularly the short-haul, high-frequency routes, is really the right thing that probably would not optimally be replaced by the other type of fleet that we have at the airline. So, it's – I mean, again, just to assure you, we look at constantly and analyze constantly all manner of fleet options, but it's probably not as simple as perhaps the question suggests.
Hunter K. Keay - Wolfe Research LLC: Okay. Mark, thank you. And then can you talk about the timeline when you need to make a decision on when to convert potentially those A321s to Mint-configured? I think it's further than a six months' lead time. Please confirm that. And then also real quickly, how much of your July ASM is going to be up? Thanks a lot.
Mark D. Powers - Chief Financial Officer: Yeah. I can't recall. So it is a...
Martin J. St. George - Executive Vice President-Commercial & Planning: Under a year.
Mark D. Powers - Chief Financial Officer: Provision in the contract where I think it is – I'm not sure if it's six months. I think it's a little longer than the six-month period under the contract. But it's not so long that it makes the ability to convert prohibitive or unrealistic. So it's there in fact as I think we mentioned in our prepared remarks, that's how we're going to accommodate some of the Boston expansion to the flexibility in the contracts. And, Marty, do you want to talk, take the capacity?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah, I'm actually looking for the number right here to make sure I get it right. I believe the number is – I'll take that offline to find it. I'll get back to you, Hunter, on the capacity in July.
Hunter K. Keay - Wolfe Research LLC: All right. Thanks, Marty and Mark. Appreciate it.
Mark D. Powers - Chief Financial Officer: Sure.
Operator: Our next question is from Andrew Didora of Bank of America.
Andrew G. Didora - Bank of America Merrill Lynch: Hi. Good morning, everyone. Marty, you often talk about your six focus cities as it relates to the margin side. Can you maybe provide a little bit of color on how these markets performed from a revenue perspective relative to the overall stats you reported for the network this morning?
Martin J. St. George - Executive Vice President-Commercial & Planning: We generally don't break out the results by city any more than we have. I'll say that we're very happy with all six of them. We think there's growth potential in all six of them. I'm not sure I'm understanding the question fully, Andrew, so maybe you could give a little more.
Andrew G. Didora - Bank of America Merrill Lynch: Just curious on how the unit revenues trended in your six focus cities relative to the directionally 1.5% PRASM increase for the overall network? Did it outperform, underperform?
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah, we generally don't report that by city, unfortunately. Sorry.
Andrew G. Didora - Bank of America Merrill Lynch: Okay. And then Mark, just have you begun to layer in any hedges for 2016 yet, or are you pretty much fully floating right now?
Mark D. Powers - Chief Financial Officer: No. We're fully floating. We haven't – we continue to look at it, of course. The shape of the curve is sort of interesting and the hedging costs are suggesting it's probably not quite the time.
Andrew G. Didora - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Our next question comes from the Helane Becker of Cowen.
Helane R. Becker - Cowen & Co. LLC: Thanks, Operator. Hi, guys. Thank you for the time. Just on fare options. As we look forward to your traffic releases for the next three or four months, is there a way we'd be able to sort of sort out the uptake on that?
Martin J. St. George - Executive Vice President-Commercial & Planning: Helane, as of now, no. I mean we have no plans to change our current reporting or guidance structure. It will, again it's for the next several months, it's still going to be a relatively small number.
Helane R. Becker - Cowen & Co. LLC: Okay. All right. That's great. And then as we look ahead to opportunities for Mint. For example, you mentioned I think service to one of the Caribbean islands and so on and the high-end leisure customer that kind of likes that product. Are there opportunities, A, for more markets where that makes sense and B, is there an opportunity to push the fares higher after the introductory period? Or some of these markets are seasonal, should we just think about it as always being Mint for $599?
Robin Hayes - President, Chief Executive Officer & Director: Hi, Helane. Good morning. It's Robin. I'll take that one. I think, look, we do see a lot of opportunity for future Mint markets. We want to be very considered and thoughtful in the rollout because this is a sort of a very sort of different business model for us and it creates complexity. And so we are very conscious about isolating that complexity. And also if you look at our future order book, the high-density 321 is a very important airplane for us too. And so we have to balance Mint markets versus the need for the 321 which is a very efficient and cost-effective way of adding capacity into some of our Caribbean markets where we can take a 320 and turn a 321. So I think, yes, we have a lot of interest in Mint. The markets of the Caribbean, those are really, we create opportunity to take an airplane out of a transcon turn at a traditionally weaker time of year and fly a turn into the Caribbean. So again, that's something we can continue to do more of if we see good successes. When in terms of your final comment on the fare, there have been a number of, a couple of price increases have gone in now with Mint. And so we have seen average fares come up and we can also control that through inventory but we also think it's an important part of the wow of the product, if you like, to have this amazing lead-in price of $599. And so I think that's something you'll see as something that we continue to be very excited about.
Helane R. Becker - Cowen & Co. LLC: Okay. Can you say what the average Mint fare is?
Robin Hayes - President, Chief Executive Officer & Director: No, we don't break that out, Helane.
Helane R. Becker - Cowen & Co. LLC: All right. Well, I thought I'd try.
Robin Hayes - President, Chief Executive Officer & Director: As you know.
Helane R. Becker - Cowen & Co. LLC: Yes, well. You can't blame a person for trying.
Robin Hayes - President, Chief Executive Officer & Director: Yes.
Helane R. Becker - Cowen & Co. LLC: Thanks very much.
Robin Hayes - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from Joseph DeNardi of Stifel.
Joseph W. DeNardi - Stifel, Nicolaus & Co., Inc.: Hey. Thanks. Good morning.
Mark D. Powers - Chief Financial Officer: Good morning.
Joseph W. DeNardi - Stifel, Nicolaus & Co., Inc.: On the operational performance metrics that you guys provided and the improvement you're seeing there in terms of on-time departures, can you quantify what benefit that has to the cost structure in the quarter or is that just mainly a passenger satisfaction benefit?
Mark D. Powers - Chief Financial Officer: Hey, Joe. It's Mark. I can't quantify, but I will tell you, it is palpable. Particularly as we look at, and a lot of energy here, particularly in New York operating metrics and credit to the team, we're seeing a completion factor. We're seeing all of the metrics that were outlined by Robin. And we also are pretty fanatical about a fleet launch. And it truly, truly is one of the sort of underlying good guys behind our ability to tighten our cost guidance. And so it's – it truly is there. But I think we would all love to be able to quantify what D0 equals in terms of CASM but it truly is there.
Joseph W. DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thank you. And then on the interest expense reduction that you're expecting from the debt paydown, could you quantify that for the year and maybe talk about what opportunities there are for further paydowns that are too expensive to retire?
Mark D. Powers - Chief Financial Officer: Sure. I would just – I would note, point out that in today's press release, we noted that interest expense was down quarter-over-quarter by $7 million as a result of reduction in debt. We continue to look at other opportunities to pay down debt. We are mindful of the fact that a lot of fixed debt may have break implications, and our treasury team has successfully been able to work with lenders and we're basically prepaying a debt close to par, so we're minimizing the impact of those prepayment issues. And so in that light, prepayment opportunities abound; of – the $84 million that we prepaid this past quarter reflected like the prepayment of special facility bonds of securing a hangar as well as a number of aircraft.
Joseph W. DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, Mark.
Mark D. Powers - Chief Financial Officer: Thank you.
Operator: Our next question is from Tom Kim of Goldman Sachs.
Tom Kim - Goldman Sachs & Co.: Good morning and thanks for the time here. I'm curious if you can provide a little bit of color around some of the underlying drivers behind the PRASM curve deceleration you saw in the second quarter?
Martin J. St. George - Executive Vice President-Commercial & Planning: I don't think we can give a lot more guidance than what I've given so far. And the one thing I will say that I may not have stressed enough earlier is that a big chunk of this benefit has come from a lot of the network investments we've made over the last several years, specifically in Latin America. If you go back 12 months to this call 12 months ago, we would have been talking about challenges in Latin America. With the capacity that JetBlue and other carriers have added. I think we've annualized that and some of the capacity has come out from some of our competitors and we've got extremely strong revenue performance in Latin America. So we're very excited about that. And as I said earlier about domestic, domestic is really spread across the whole system. I don't think we see any unusual pockets of strength or weakness domestically.
Robin Hayes - President, Chief Executive Officer & Director: Hey, Tom. It's Robin. I'd just like to add a couple of more thoughts on that. I think first of all, I think it's – when we talk about acceleration within a quarter, I think we have to be a little bit careful about just looking at sort of monthly traffic numbers because there's often a bit of noise and you've got to kind of look back at the comps and how did our May and June last year compared to May and June this year. So, I think – I know that some carriers are moving away from monthly traffic because I think the focus really is on the trend over a bigger period and I think back to Martin's point, if you look at the A4A comparative data through the first six months of the year, you actually continue to see a very strong performance, if not a strengthening of that performance relative to others. And so I would just caution a little bit about just looking at sort of the May and June data and look at the longer trend.
Tom Kim - Goldman Sachs & Co.: Okay. And yes, fair enough. I actually was suggesting that – referring more specifically to the deceleration that we have seen in May and June and obviously you had the tough comp last year. And so I'm just wondering if that's really all it was with the tough comp?
Robin Hayes - President, Chief Executive Officer & Director: Yeah. I mean, look, I think – look at the trend. And I think as Marty said earlier, we continue to see strong demand across all six of our focus city markets.
Tom Kim - Goldman Sachs & Co.: Okay. I guess one of the areas that we've been pleasantly surprised by is just some of the – the cost performance, Q2 was obviously very good and obviously with some puts and takes on the third quarter but you have brought down the full-year cost guide by that half a point at the upper end of the range. So I'm just wondering if you can give us a little bit of color around what's driving that.
Mark D. Powers - Chief Financial Officer: It's frankly just really good discipline with – across the system in the near term. Again, operational metrics are very, very impactful, and credit to the crew members. I wish I could quantify exactly how much that is as Joe asked for but – and then we're seeing, we're seeing really good cost behavior and it's really across the board.
Robin Hayes - President, Chief Executive Officer & Director: I think, Tom, if I may, it's Robin. I just want to. I mean I think as we said at our Investor Day, as a company, we know how important strong ex-fuel CASM cost control is to our ability to continue to grow our model. And so it's something that we remain extremely focused on. We don't have time here to go into sort of all of the things that we're doing but there's a lot of focus on the operational side, how we review expenditure, some of the programs we've got and some of the larger expenses to areas to drive more efficiency. And then frankly, as Mark pointed out, just running a more on-time operation, completing more flights, have an inherent efficiency that also kind of bubbles up into the number.
Tom Kim - Goldman Sachs & Co.: Okay. Yeah. Thanks for the color. I appreciate that.
Operator: We have one more question from Rajeev Lalwani of Morgan Stanley.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi. Thanks for taking my question. Just a high-level one on the Transcon market. There's been a fair amount of changes from yourself and some other carriers. And I was just wondering if you can maybe bring all that together and just talk about if the environment on that side is improving, getting more or less competitive. Just your thoughts here would be great.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi. Thanks, Rajeev. The Transcon market has been strong for us. I think obviously Mint is an important contributor to that, but it is by no means the most important contributor. And we're seeing this strength in almost all of our JFK Transcon markets, not just only in San Francisco; also seeing strength in Boston. We've had markets, for example the Fort Lauderdale, our Transcon markets which have been breakeven for a while are now solidly profitable. I think we're really seeing the Transcon improving across the board. And we're very happy with the trends we're seeing. And I think it's one of the reasons we're so excited about adding Boston next year.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. Great. And then just last question. On Latin America, it seems like a fair amount of the other carriers have been stuffing up their investments in partnerships and co-chairings and things like that. I'm just wondering how that may impact you from that competitive standpoint if at all.
Martin J. St. George - Executive Vice President-Commercial & Planning: Honestly, we're very happy with our growth potential in Latin America. We do have a couple of strong partnerships in the Caribbean. We're always looking for more partnerships. So I would certainly not say we're against partnerships down there. I think there are certainly opportunities. But we're fundamentally focused on our own growth, and we see an awful lot of runway ahead of us for additional opportunities in Latin America. We've obviously added a couple of markets, Antigua, Grenada we've launched recently. But I think what's more exciting for us is there is a lot of markets we're not flying from multiple focus cities. And we have a trend that we follow historically with JetBlue, we will start something out of New York, maybe at Boston, maybe at Fort Lauderdale, maybe at Orlando. I think that trend has worked extremely well for us, and I think for that reason, we see a lot of upside for our own growth down there.
Robin Hayes - President, Chief Executive Officer & Director: I think – I just want to – I do want to build on that because I think something that we've gone on the record of saying is that we do have some concerns about the some of the joint ventures that are appearing in some of these markets. We do believe that has the ability to inhibit competition longer term, and we certainly called for joint ventures that were viewed and these new joint ventures that are created taking best practice from other jurisdictions where there's a period of time for that approval, at which point, the end of that, the consumer benefits, the customer benefits that were committed to the beginning can be reviewed. And if they are there, then the joint ventures can continue. And if they can't, that should be subject to review. So we do remain concerned about that, but as Marty said, in terms of as we look specifically at Latin America, we still see a number of growth opportunities. But when we look at Mexico City and how hard it was to get slots there, getting really tough slots at an airport where you have a very – a number of slots in the hands of a very few number of carriers, we are concerned about that. And that's something we continue to dialogue on.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Great. Thank you, gentlemen.
Robin Hayes - President, Chief Executive Officer & Director: Thank you.
Kevin Crissey - Director-Investor Relations: All right, everybody. That concludes our second quarter 2015 conference call. Thanks for joining us and have a great day and see you next quarter.
Operator: And again, that will conclude today's conference. Thank you all for your participation.